Operator: Welcome to the Q1 2017 Textainer Group Holdings Limited Earnings Conference Call. My name is Adrian and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note this conference is being recorded. I will now turn the call over to Executive Vice President and Chief Financial Officer, Hilliard Terry. Mr. Terry, you may begin.
Hilliard Terry: Thank you and welcome to Textainer's 2017 first quarter conference call. Joining me on this morning's call are Phil Brewer, TGH President and Chief Executive Officer. At the end of our prepared remarks, Olivier Ghesquiere, Executive Vice President, Leasing will join us for the Q&A. Before I turn the call over to Phil, I would like to point out that this conference call contains forward-looking statements in accordance with US Securities Laws. These statements involve risks and uncertainties, are only predictions and may differ materially from actual future events or results. Finally, the Company's views, estimates, plans and outlook, as described within this call, may change subsequent to this discussion. The Company is under no obligation to modify or update any or all statements that are made. Please see the Company's annual report on Form 20-F for the calendar year ended December 31, 2016 filed with the Securities and Exchange Commission on March 27, 2017, and going forward any subsequent quarterly filings on Form 6-K for additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements. I would also like to point out that during this call, we will use non-GAAP financial measures. As such measures are not prepared in accordance with Generally Accepted Accounting Principles, a reconciliation of the non-GAAP financial measure to the most directly comparable GAAP measure will be provided either on this conference call or can be found in today's earnings press release. At this point, I would now like to turn the call over to Phil for his opening comments.
Phil Brewer: Thank you, Hilliard. I would like to welcome you to Textainer first quarter 2017 earnings call. The positive changes we are seeing in the market are reflected in our results. Our lease rental income increased quarter to quarter. We have recovered a higher percentage of Hanjin containers than we expected at the time of the company's default, impairments are down and gains on sale are up, utilization is high and increasing. The increase in lease rental income reverses a consecutive string of declines in quarterly lease rental income for more than two years since the fourth quarter of 2014. This increase is a clear indication of the improvements in new and depot container lease rates and lease out demand that we are seeing. We continue to make excellent progress recovering Hanjin containers. To date we have recovered or are in the process of recovering 88% of the containers leased to Hanjin and are actively negotiating the release of another 5%. The remaining containers are being recovered in small batches. We have $80 million of insurance after a $5 million deductible to cover unrecovered containers, lost revenue and recovering repair costs. We believe our total claim will exceed our insurance coverage by $10 million to $20 million. Impairments related to containers waiting disposal have decreased significantly over the last three quarters. This reduction is due to several factors including an increase in used container prices, up approximately 50% since last summer and declined in the quantity of containers being put to sale due to the strong lease out demand. Additionally, the increase in used container prices also resulted in a sequential increase in gains on sale. We expect these trends to continue during 2017. With the changes we made to our depreciation policy during the third quarter last year, we now have the lowest residual values of our peers for the major container types. As a result of these changes, our quarterly depreciation this year increased by almost $10 million. As a point of interest, in many locations current sales prices exceed our revised residual values. In addition to increases in depreciation expense, our effective interest cost is also increasing due to the restructuring of several of our debt facilities as well as recent refinancing. Hilliard will elaborate on these points. Utilization averaged 95% for the quarter and is currently at 96%. Since the beginning of March, our utilization has been increasing 0.1 to 0.2 percentage points per week. Our utilization benefits from the fact that 83% of our fleet is subject to long term and financed leases, which only 7% mature in 2017 and more than 40% of recovered Hanjin containers have been leased out. Furthermore, the average rate of the expiring contracts in 2017 is $0.62 per CEU per day. New container rental rates are significantly higher making it easier to extend maturing leases at attractive terms or if the containers are returned to release them. New container prices are currently above $2,200 per CEU, a slight decline from prices earlier this year likely related to declines in steel prices. Steel prices have declined further recently whereas plywood, paint and manufacturing costs have increased. Taken together these factors suggest that new container prices will remain above $2000. Initial cash on cash returns are in the low-double digits. Rental rates have increased much more than the increase in new container prices demonstrating that margins have increased as well. Rental rates for depot double containers remains strong up to triple the level of last summer. Current new container inventory factories is approximately 500,000 TEU which is higher than January to February but not excessive for this time of the year. Part of the reason for the increase is that many orders were placed for delivery prior to the 1 April change to waterborne pain. There is not an excess supply of containers in the world, the utilization is high, new container and depot inventories are low and new orders are in line with market demand. Approximately 950,000 TEU have been built or ordered this year compared to production last year of 1.8 million TEU. As already noted, used container prices have increased by 50% on average worldwide with some locations primarily Asia showing even greater increases. We believe used prices will remain around current levels even if new prices decline slightly due to the reduced quantity of containers now being sold. Our adjusted net loss for the quarter totaled $9.1 million or $0.16 per diluted common share. The outlook for the major shipping lines is more positive now than it was last year. Demand is strong, freight rates are above the record lows of one year but lower than they were two years ago. Operating costs were down offsetting some of the long-term decline in freight rates. In May, the line successfully introduced GRIs on the major east west trades but is too early to know if these increases will stick. The grouping of most major lines into three alliances should result in increased operating efficiencies. Interestingly, recent port congestion in Shanghai and other Chinese ports is attributed in part to the April startup of the alliances. Such congestion is generally positive for container leasing. Vessel fleet growth in 2017 is projected at only 3% assuming going demolitions. The vessel order book is small at only 16% of the existing fleet. No new vessel orders are likely due in part to the limited liquidity available from banks or the capital markets for investment in vessels. Although the major lines combined $3.5 billion in 2016, we believe that credit outlook is better today than it was last year doing not just to the improved outlook for shipping lines but also to steps that have been taken as a result of Hanjin bankruptcy. Some of the lines considered to be greater credit risks have had their debt restructured and/or received injections of new equity. Lines are well aware their shippers will avoid them if they are considered on time financially. [Indiscernible] specific measures that will be taken if a member becomes insolvent. We expect our performance will continue to improve over the course of the year due to the increase in new and depot container rental rates and used container sales prices. However, our earnings will continue to be negatively affected by the increased depreciation and interest expense I mentioned earlier as well as reduced but ongoing impairments. Nonetheless, each day we are more encouraged by the positive signs we are seeing. I would now turn the call over to Hilliard.
Hilliard Terry: Thank you, Phil. I will review the major drivers of our results this quarter and provide more color on the financial impact of the items Phil mentioned in his comments. Lease rental income was $107.6 million. When compared to last quarter, lease rental income increased by 1% marking the first sequential increase in more than two years. On a year over year basis, lease rental income declined by 12%. The loss of lease rental income from Hanjin accounted for approximately half or 6 percentage points of the decrease. The remainder of the change was due to low per diem rates and lower utilization when compared to Q1 of last year. Higher used container prices and a stronger resell market resulted in an increasing gains on sale and profits in our trading business. An additional benefit of a stronger used container market is that this quarter's impairment to write down containers pending disposal to their fair market value amounted to $7.7 million and was down year-over-year from the 17.3 million in the year ago quarter and down sequentially from the 12.9 million we reported in the fourth quarter of last year. We also recorded a $4.7 million reversal of previously recorded impairments on held for sale containers due to an increase in used container prices. We expect the monthly run rate on impairments to continue to decline. Depreciation expense was 60.6 million for the quarter, up 8 million year over year. As you may recall in Q3 of last year we changed several aspects of our depreciation policy. These changes resulted in about $10 million of additional quarterly depreciation expense. This quarter's depreciation expense was partially offset by lower new container prices during 2016. In spite of an increase in the size of our own fleet of dry containers. Going forward, we expect to have approximately 39 million of incremental depreciation expense annually due to these changes. If you'd like more information or details on the changes to our depreciation policy we've included a table summarizing these changes in our quarterly IR slide deck. Annualized depreciation expense for the quarter was 5.2% of average container costs and we expected to remain at this level. Direct container expenses increased 5 million or 34% year over year to 19.7 million for the quarter. Although storage costs decreased by about $1 million due to increased utilization, our repositioning expenses increased by 4.6 million and 2.8 million of this increase was due to repositioning expenses of former Hanjin containers. We had small increases in handling, repair and insurance items, which also impacted direct container expenses. For the fourth [ph] quarter, our interest expense including realized hedging class were $30.1 million, a $4.2 million increase from Q4 of 2016 and a $7.8 million increase compared to the year ago quarter. We completed several amendments to our bank facilities to replace legacy covenants which are focused on EBIT as opposed to more appropriate cash flow related metrics. After the close of the quarter, we also set up a facility to retire existing asset backed notes. The increase in our interest expense reflects the cost of these amendments and the revised financing costs resulting from our actions. Our average effective interest rate which includes realized hedging costs is currently 4.03%, an increase of 100 basis points when compared to the year ago quarter. More than half of the increase was due to an increase in the benchmark rate and incremental amortization of fees. While the balance resulted from an increase in the spread as several of our facilities were repriced to align with current market rates. Sequentially, our effective rate increased 59 basis points; the biggest component of the increase was the increase in spread. As of quarter end, over 77% of our debt was fixed or hedged compared to 83% of our owned fleet subject to long-term and financed leases. The weighted average remaining term of our fixed and hedged debt is 44 months and the weighted average remaining term of our long-term and finance leases is 42 months. While our access to our bank facilities was limited as we work through our amendment process, I am pleased to report that we've successfully completed the amendments. Given the very favorable capital market conditions we're now working to access the longer term debt markets and expand our financing sources. We continue to recover the final Hanjin containers and redeploy these containers so that they began to generate cash as quickly as possible. We increased our cash position by $10 million from the beginning of the year despite the cash required and the expenses to recover the Hanjin containers. As you may recall, the 114,000 Hanjin containers represented 6.4% of our total fleet. Within nine months after the bankruptcy we've recovered a significant portion of the containers and still expect to recover more. To-date we've spent approximately 50 million recovering, repairing and reactivating former Hanjin containers. Given the strong market conditions, our expected repositioning expenses which are not covered by insurance have come in much lower than expected and we believe the bulk of our Hanjin related expenses are now behind us. To date we've put more than 40% of the recovered containers back out on lease at rates that reflect the improved market environment. Lastly, we filed our initial claim and expect to start receiving cash payments from the insurance proceeds in the coming weeks. However, the final payments may not occur until much later. Thank you for your attention and now I'd like to open the call up for questions. Operator can you inform the participants of the procedures for the Q&A.
Operator: [Operator Instructions] And our first question comes from Michael Weber from Wells Fargo. Please go ahead.
Don McClain: Good morning guys, this is Don McClain for Mike. My first question is just around that incremental cost related to the insurance in Hanjin. Could you speak to what that incremental 10 and 20 million above your insurance coverage consists of?
Phil Brewer: Thank you very much for asking that question because I think we should have been a little clearer in our little opening remarks on that point. That amount has been recognized already in the third quarter and the first quarter of this year. We don't expect it to impact us going forward. It is possible that we will have some additional repositioning expense with respect to Hanjin containers, repositioning expenses aren't covered by insurance in any event and we don't expect the amount to exceed a few million dollars.
Don McClain: And then second would be just where do your current depot inventory level stand and in terms of your redeployment priorities, how do you prioritize deploying the ex- Hanjin containers, your depot inventory and expiring leases?
Olivier Ghesquiere: Olivier Ghesquiere speaking, just a quick word, this is the first time I participate, just to introduce myself, just to say I have 25 years' experience in asset management, where I have been involved with container, RevCAR and locomotive leasing businesses and just to say I'm very excited to join the team at Textainer at a time when the market is turning now. Coming back to your question in terms of depot inventory. I would say our depot inventory is at its lowest or unbooked inventories is even lowers, so we're really in a situation where we're maximizing our position and we're able to achieve increased the rental rate on that depot inventory at the moment.
Phil Brewer: And then obviously when our utilization is as high as it is, it's pretty clear that our depot inventory is not very large.
Don McClain: So it seems like the deployment of the Hanjin containers is the priority.
Phil Brewer: That certainly has been our priority since the point to time when Hanjin declared bankruptcy, it continues to be the priority, but we've also got depot containers also in the world what we're finding right now is because of the very strong lease out demand that we see in Asia. We're often able to trade off pick up side of Asia along with pickup side locations that are often harder to lease out. So that's the reason why our deport inventory is quite low.
Don McClain: And then one last one before I turn it over, I believe Hilliard alluded to this on an incremental basis with the commentary in the effective interest rate. But could you just provide some more color on the terms you're able to secure on that refi facility.
Hilliard Terry: Sure Donald, basically we refinanced or I should say amended our bank facilities and if you look at sort of where they were priced, they were priced frankly they were done a while ago and priced below market and so all we did was, some of them were repriced and I would say the incremental sort of spread was probably in the 50 basis point range in general.
Operator: And our next question comes from Helane Becker from Cowen & Co. Please go ahead.
Helane Becker: So just on the containers now, in the manufacturing level, so we've already converted - we're like five weeks into the process have, you noticed the manufacturers have come back on line. Can you just maybe give us an update on what you're seeing because it feels like the last time we talked to you saw that there were these slow ordering in April until people were certain enough to containers that were coming out would [indiscernible] and so on.
Olivier Ghesquiere: Yes, Helane, Olivier. Just to say the first quarter as you mentioned has been extremely active, we estimate 750,000 containers were manufactured. From 1st of April the production capacity was reduced as a lot of factories either shut down or reduced capacity to produce waterborne and container. And the production volumes have come down to about 150,000 TEU per month which is a lot lower what it was in the first quarter. At this point in time, the number of orders has reduced but it's also fair to say that the production capacity that is available is pretty much fully booked until the end of June.
Helane Becker: Can you say when you think these facilities will be back online? If we assume like 750 is kind of a normalized month, when do you think we'll be back to that level.
Olivier Ghesquiere: Helane, the production capacity will be very progressive thing. Actually a lot of manufacturers are observing the situation and depending on the orders they will get I think they will decide to go ahead with the necessary investment. What we can see is that the overall production capacity will be lower and will probably - the factories will never be as efficient as they were before the introduction of the waterborne pain, there's a few reasons for that. One reason is that some factories are simply shutting down and will not be opening again. The second one is that the factories that have fully converted to waterborne pain are very limited, most of the other factories are doing adjustment to the production line and they will produce waterborne containers but they will produce fewer numbers than they were able to produce before, which would also have another impact in terms probably in terms of productivity and total manufacturing cost for the manufacturers.
Phil Brewer: I'm sorry, Helane. This is Phil. Just to build on that a little bit. Some of the trends we are seeing and I'm sure you've seen it too, steel prices have come down and in fact the new container prices have come off slightly from their highs of earlier this year. But apart from the fact that steel prices have come down, some of the other component costs of plywood to paint have in fact increased and then you have the points that Olivier was raising about the manufacturing costs going up, in part because of being less efficient. So you've got a few factors there playing into the, I know you weren't asking me specific about new container price, although I think it was implicit in your question, you've got a few factors here. Steel price going down, but other factors going the other direction, pushing up and helping support prices at around where their current level is.
Helane Becker: I think that's very good. I mean I think the point that we're never getting back to the old levels is pretty significant. So that's kind of a good guide. I just have two other questions. One is I'm kind of assuming that the fact that the Federal Maritime Commission rejected the Japanese merger for those three lines is like your relevant contain - the container leasing business or is it relevant?
Phil Brewer: Well, I'm not sure that what they did was reject the merger. My reading of what happened is that the Federal Maritime Commission said that they are not allowed to exchange certain information until they are merged. While they're going through this merger process, they can't share competitively sensitive information. So it's fully expected that the merger will continue. This is the process of communication between the three lines prior to the point at which they merged will not be as thorough as they had hoped.
Helane Becker: Okay. So I mean the bottom line is that has no relevance to your business?
Phil Brewer: No. Not really. No.
Helane Becker: Okay. And then my last question is on bad debt expense. Was there a carrier or I mean, is there another something out there that we should know about that caused that number to, I mean, it's down year-on-year or, yeah, it's down year-on-year. So that's a good thing, but I kind of was surprised to see that it wasn't zero.
Phil Brewer: No. There's no other major carrier that we're concerned about. Well, there are a few carriers that I think everybody's looking at, but there was not a major carrier that impacted our bad debt expense.
Hilliard Terry: And it was very minimal Helane this quarter.
Operator: And our next question comes from Doug Mewhirter of SunTrust. Please go ahead.
Doug Mewhirter: Hi. Good morning. Just a couple of questions. First on the liability side of your balance sheet, Hilliard, do you have any I guess pending maturities of ABS or bank facility to term loans or anything like that that you would need to restructure or pay off within the next 12 months?
Hilliard Terry: No. Actually, we do have a warehouse facility where the revolving portion of period is going to end in the September timeframe. So we'll look to review that facility, but we do not have anything that has a hard maturity in the next 12 months.
Doug Mewhirter: Okay. Thanks for that. And on the asset side, it looks like you took a pause with CapEx, although you could argue that the returning Hanjin containers gave you a fairly nice amount of supply without having to spend any money other than to get them back. Do you anticipate more CapEx, I know that the factory seem booked, but are you part of those bookings that you talked about in the second quarter or is it going to be remaining a little slow until the third quarter, all things being equal in the industry?
Phil Brewer: Thanks, Doug. Well, this is Phil. A few things. One, you're right, our CapEx was down. We were pretty focused on recovering the Hanjin containers and a lot of our cash went into the Hanjin containers. Not just Hanjin though, we've got a few other items, right. Every time that we have either impairments or the fact that our depreciation, I mean, right now, we have the lowest residual values in the industry on the major equipment types. As a result of that, our depreciation expense has increased. Clearly those that - while depreciation itself might not be a cash item, it does mean that we have to pay down the related debt. So there has been demands on our cash apart from the CapEx, so our CapEx in the first quarter was frankly minimal. As we start to collect the insurance proceeds, which we expect to receive at least the initial payments over the course of May and further payments thereafter and as we continue to wind down the Hanjin recovery, we do believe that our CapEx will increase going forward this year.
Doug Mewhirter: Okay. Thanks, Phil. And a quick clarification where will we see those Hanjin payments show up? Will that show up on your revenue line or as a contract expense?
Hilliard Terry: No. Doug, if you look on our balance sheet, you'll see an insurance receivable and basically as we get the cash and you'll see that receivable decline.
Doug Mewhirter: Okay. And so have you recognized, but you haven't recognized any of those insurance recoveries as revenue or have you?
Hilliard Terry: Well, no, the expected insurance recoveries were netted against the expenses.
Doug Mewhirter: Okay. Thanks for that. And the last question, bigger picture question, I'd noticed there was - a couple of weeks ago, there were some rumblings in the container trade press about Yang Ming and Evergreen that neither of them were doing very well, even though the environment was improving. I don't know if you had any commentary on that situation. And also are either of them active lessors, for some reason I recall Evergreen owns most of its fleet, but I just didn't know, any commentary on any of that?
Phil Brewer: Well, I think what you're saying needs a little qualification. Generally, Evergreen is not considered to be a credit concern and it does in fact with these containers, both Evergreen and Yang Ming are strong customers of ours and I'd say strong customers of any of the container leasing companies. Yang Ming is the line - probably the reason you're talking about both is because there were rumors that the Taiwanese government was looking to see if they could merge the two of them. The government owns - has a substantial shareholding in Yang Ming and Yang Ming's financial performance has certainly been a concern to some. But in the aftermath of the Hanjin bankruptcy, we have seen governments in Asia take strong steps to support other shipping lines, Hyundai being one, Yang Ming being one. And so currently the view is that while Yang Ming's financial performance, and they would be the first to admit it, is not at a level they'd like to see that the government is providing strong support for the company.
Operator: And our next question comes from Bob Napoli from William Blair. Please go ahead.
Bob Napoli: Thank you. Just wanted to kind of follow-up and obviously your two public competitors have shown returning to profitability and given some outlooks for pretty good profitability improvement quarter-to-quarter and you're behind that trend and you talk about a slow return to profitability. It's obviously affecting your stock price today I guess. That's the main thing. But what is causing you to be in the short term at least a less attractive position. Is it the investment in reefers, what percentage of reefers of your business or is it, I mean the credit facility, the way it was structured gave you less flexibility, more exposure to Hanjin. What is it and how long does it take, assuming the market environment stays around like it is today, how long does it take for you to start generating reasonable profitability? Is it 12 months, 18 months?
Phil Brewer: Hi, Bob. This is Phil. I appreciate that question. I think it's an excellent question. Let me do my best to try to answer the question. The biggest impact in my mind is that we had a higher percentage exposure to Hanjin than our competitors did. And that's certainly been a big impact on our performance over the past couple of quarters and although that impact is starting to - has started to decline, we still will see some of that impact in the immediate near future. Beyond that, we had very high level of impairments. I know some of our competitors did too, but I think perhaps some of our sales policies may have differed. There may have been decisions simply not to sell. We generally don't try to time the market. If you think about market conditions last year, early last year especially, sales prices were very low. There was certainly no expectation at that time that you would have seen retail prices coming up to the level that they've come up today when you were looking from last quarter. And I think we were affected by that high level of impairments as well. We also have, as I mentioned earlier, the highest level of - the lowest level of residual values in the industry, which result in a very high level of depreciation expense. And then finally and you touched on this one as well in your question is just the structure of our financing facilities differ. And I'm not privy to all the terms of the financing facilities of our competitors, but I believe as we look back perhaps, some of the covenants and the way we've structured our facilities were really not appropriate for the type of business that we are. So I mean in my mind, those were some of the biggest reasons why we're underperforming.
Bob Napoli: And the timing of getting to - theoretically, assuming you're making the right managerial moves that as we go over the next year or so that these issues should I mean actually having lowest residual value should improve your profitability long term versus others because you're taking more expenses, but how long does it take to get to reasonable levels of profitability? I mean you're seeing some pretty dramatic changes in profitability at your two competitors?
Phil Brewer: Well, as you know, we don't provide guidance. I want to be very - we want to be very open and indicate that some of these factors will continue for the short term. Certainly, the increase in depreciation expense and increase in interest expense we've seen are going to continue to impact us in the short term. But longer term, look, there's all these positive factors that we're seeing in the industry are affecting us as well. I mean, you've seen that our revenue has gone up. Today's new containers are going out at double digit cash on cash. If you calculate the ROE on these transactions, it's also in the double digits. So longer term, the same positive factors that are affecting our competitors will affect us as well.
Bob Napoli: Okay. Nothing on timing and generally when you should see a significant improvement. I think it would be helpful. I mean to your stock price and what I mean with cash flow, when you look at cash flow versus I mean at this stock price, you're probably better off buying stock than buying containers.
Phil Brewer: Bob, we simply haven't provided guidance in the past and we don't intend to start providing guidance at this point. But the same positive factors that are affecting our competitors are impacting our performance as well and as we go forward through the year, we believe we'll be positive - they will be demonstrated in our financial results.
Bob Napoli: Okay. And then just thoughts around stock versus containers. There were some mix of both at this stock price with the industry improving and your stock historically trading well above book value?
Phil Brewer: Is your question whether we're going to be repurchasing stock?
Bob Napoli: Yeah. I mean, you should be repurchasing some stock now that you're - at this stock price, if you're looking at a long term value. But that's - I'll leave it at that.
Phil Brewer: At the current time, Bob, I would just say that's not our priority.
Operator: [Operator Instructions] And our next question comes from Tyras Bookman from Park West. Please go ahead.
Tyras Bookman: Hi, there. I was just following up on Bob's questions and hoping that maybe we could quantify things a little more. So your competitors are saying, they're going to get to pretty much double digit ROEs pretty soon. You guys are saying maybe you'll get to net income positive in the next couple or few quarters, it wasn't clear on that. But how much of your inability to make money is the difference between your depreciation and your competitors, because it seems like why you have the lowest residuals, it's not such a giant difference that that's going to be a huge driver, but haven't done enough. So maybe you can help me with that.
Phil Brewer: Hi, Tyras. This is Phil. I think as I answered to Bob, I believe there's several factors there that impact is relative to our competitors and that's simply one of the factors we've mentioned also that beyond just depreciation expense, really the biggest factor over the past couple of quarters and I believe it will continue for the very immediate future is the Hanjin exposure. We had over 6% of our fleet on lease to Hanjin. And that was a pretty dramatic impact on Textainer.
Tyras Bookman: Revenue line item?
Phil Brewer: Well, the cash that we had to spend to recover Hanjin containers at the time couldn't be spent in acquiring new containers because we had to pay repositioning, recovery costs, ransom costs, et cetera related to Hanjin. Those costs - well - we've been through some of those questions, Tyras. We said that our total cost exceeded our insurance claim by probably $10 million to $20 million but those items has largely been recognized.
Tyras Bookman: So you're just saying, hey, if we had $80 million, we could have gone on at a lot of bunch of containers and put them on lease and that would have helped our lease revenue?
Phil Brewer: Well, yes, that's part of it along with the fact that our interest expense is increasing because of the refinancings that we've been going through as well.
Tyras Bookman: How much has the interest expense increase compared to your competitors cost of debt, like how much money is that worth?
Hilliard Terry: Tyras, it's hard to compare I guess to the competitors cost of debt. What I would just say is our facilities were priced a while ago and so you could say that they were below market. So as we went through some of the amendments, we were - they were repriced to market. For us, that sort of added in terms of spread above benchmark roughly about 50 basis points or so. On top of that, we have to amortize the fees associated with those activities and that added additional costs as well. So for us, it's roughly about $8 million per quarter of incremental interest expense. On the depreciation side, at a -
Tyras Bookman: Real quick, when you say incremental, is that incremental to your historic numbers or what it would be at competitors' rates, historic numbers is kind of relevant?
Hilliard Terry: I am comparing it to the historic run rate.
Tyras Bookman: I think that's less relevant, because you guys and the reason why people keep talking about competitors is that you all are on the same type of assets and so people want to think about under a constant financing structure, what kind of ROEs do these companies earn and clearly you guys have some issues that are making it so that you're not earning any money and I think people are trying to level set and normalize this to understand where the holes are in your business and how long that will take to fix? You guys keep trying to do this based upon last year, which is just not really relevant in this analysis?
Hilliard Terry: So let me if I can clarify it for you. It's hard to compare it to one of our competitors because we, Hanjin and one of our competitors doesn't. So if you look at the funding cost that they have, it's going to be lower. If you look at historically and you have to look historically, I think some of our bank facilities have been priced tighter than others. And so we've benefited in some sense and when we repriced the market, I think we're pricing things where everyone else is pricing things. So I wouldn't say that on a go forward basis with incremental financing that we do that we would be at any sort of disadvantage vis-a-vis our competitors.
Tyras Bookman: Okay. And then I think you were going to talk about quantifying the depreciation difference, because I know that you guys are lower, how much money that's worth? Is it $1 million a quarter or size compared to if you look at the average residuals across the space?
Hilliard Terry: Well, again, you're asking relative to our competitors. What I could say, it's kind of in some ways difficult, but - to compare, but if I look at just for us, if I look at our run rate now versus our run rate previously, that's an incremental $10 million a quarter or $40 million a year. So again the reason why I'm looking at it on a year-over-year basis is because if you look at the run rates, depreciation expense $40 million, interest expense roughly about let's call it $30 million to $35 million of incremental expense that we have that we did not have.
Tyras Bookman: I understand and I hear that and I appreciate you disclosing that, I think the issue is here is where you are, you do have that cost of debt, you do have that depreciation schedule. So people are trying to figure out what do you need to do to be able to make, one, to be able to make money and two, to be able to make, let's say a double digit ROE. And maybe it's just, hey, we need time to go out and spend a lot of money and buy new boxes put them on at double digit cash on cash yields. Is that really the answer?
Hilliard Terry: Well, Tyras, that is certainly part of the answer. I mean, our cash has been deployed focused on Hanjin. As we start to get these insurance recoveries over the coming weeks that will certainly enable us to increase our investment in new containers going forward. We're benefiting from what we've seen in terms of strength in used container prices. Interestingly, used container prices continue to increase, not so much in Asia where they've reached peaks, but we see them continuing to increase in Europe and in North America. And that also is providing a benefit.
Tyras Bookman: So it sounds like it might take until 2018 for you guys to start putting up GAAP profits. Is that right?
Hilliard Terry: Well, Tyras, I've answered the question a couple of times. I'm going to answer it the same way. We haven't given guidance in the past and we frankly don't intend to give guidance now. We have said that the same positive factors that are affecting our competitors are impacting us as well and we expect that to be demonstrated in our results as we go forward.
Operator: And this concludes the question-and-answer session. I'll turn the call back over to Mr. Terry for final remarks.
Hilliard Terry: Thank you. And I appreciate everyone joining our call this morning. We look forward to talking to you throughout the quarter. Thanks a lot.